Operator: Good day, everyone, and welcome to iSpecimen's First Quarter 2022 Conference Call. [Operator Instructions] This conference is being recorded. A replay of today's call will be available on the Investor Relations section of iSpecimen's website and will remain posted there for the next 30 days.  I will now hand the call over to Allison Soss, Investor Relations for introductions and the reading of the safe harbor statement. Please go ahead.
Allison Soss : Thank you, operator. Good morning, everyone, and welcome to iSpecimen's First Quarter 2022 Results Conference Call. With us on today's call are Christopher Ianelli, iSpecimen's Chief Executive Officer and President; Tracy Curley, Chief Financial Officer; and Jill Mullan, Chief Operating Officer. Before we begin, I would like to remind you that today's call contains certain forward-looking statements from our management made within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities and Exchange Act of 1934 as amended, concerning future events. Words such as may, should, projects, expects, intends, plans, believes, anticipates, hopes, estimates and variations of such words and similar expressions are intended to identify forward-looking statements. These statements are subject to numerous conditions, many of which are beyond the control of the company, including those set forth in the Risk Factors section of the company's Form 10-K for the year ended December 31, 2021, filed with the SEC. Copies of this document are available on the SEC's website at www.sec.gov. Actual results may differ materially from those expressed or implied by such forward-looking statements. The company undertakes no obligation to update these statements or revisions or changes after the date of this call, except as required by law. Now it is my pleasure to introduce Chris Ianelli, CEO and President of iSpecimen. Chris, please go ahead.
Christopher Ianelli : Thank you, Allison, and good morning, everyone. Thank you for joining us for today on our First Quarter 2022 Earnings Conference Call. I'm excited to provide you with an update on our progress following 3 completed quarters of operation as a public company. With me are Tracy Curley, our Chief Financial Officer; and Jill Mullan, our Chief Operating Officer. I'll begin by providing an overview of our operational performance, followed by a review by Tracy of our financial performance during the 3 months ended March 31, 2022. Following that, we will open the line to take your questions. Q1 was another exciting quarter for the company, marked by a tremendous amount of activity and a few challenges, the latter of which stemmed predominantly from the military conflict between Ukraine and Russia and the resulting geopolitical unrest. Starting with our operational highlights. As we have discussed on our prior calls, following our initial public offering last June, management has been intensely focused on expanding the capabilities of the iSpecimen marketplace platform, accelerating the growth and utilization of our global supply chain and invigorating revenue growth for long-term value. I'll cover each of these separately, starting with the work being done on our marketplace platform. I'm pleased to let you know that several weeks ago, we announced a new release of the iSpecimen marketplace. This was a culmination of planning and work that began in the second half of last year. It's important to stress that this update was the first of a series of updates we plan to release each aimed at delivering incremental yet foundational improvements to our software platform that align with our long-term strategy. As we have discussed on prior calls, our unique marketplace platform is a critical component of our business model and strategy to capture market share by defragmenting and automating a historically inefficient process by which valuable biospecimens are sourced and procured. This latest software release includes new data integration capabilities to further grow and federate our supply chain, such as automated data ingestion tools and data harmonization tools. These new tools improve the ability of biobanks and health care providers to add and maintain biospecimen inventories to our platform. Additionally, this release includes a redesigned easy-to-use interface for researchers to directly search for desired samples in iSpecimen's provider network via an intuitive Google-like search bar with support for additional search criteria. These search capabilities have now been extended to our suppliers, enabling them to better manage their biobanking operations as well. We are confident that the enhanced ice specimen marketplace will better support our research clients' needs for critical research specimens across the world and make it easier for our suppliers and customers to transact, resulting in increased new client interest and revenue opportunities. In parallel to this first round of work on our software platform, I'm also pleased to announce that we have moved forward into a significant data-sharing arrangement with a major nationally recognized cancer center. Through this partnership, we have begun ingesting large sets of deep clinical data that will ultimately be utilized by the marketplace platform to identify patient encounters, many of which may serve as a source for prospective biospecimen collections. We are actively pursuing other data-sharing deals like this as part of our plan to accelerate and scale our ability to conduct the highly specific prospective biospecimen collections that represent a growing proportion of our business. On the personnel side, as we continue to advance our unique platform and approach, we saw an opportunity to bring on another outstanding leader to the organization. With this call, we are happy to announce the addition of Evan Cox to the iSpecimen's team as Vice President and the new Head of Product Management. Evan comes to us from definitive health care and brings with him a deep understanding of the markets relevant to our value proposition and a set of experiences that align perfectly with iSpecimen. We are fortunate to have Evan on the team working side-by-side with our CIO, Ben Bielak and the Head of our growing engineering team, Madhu Valluri. It's important to stress the critical role that technology plays in our marketplace platform approach to iSpecimen sourcing and procurement as well as our long-term strategy. We are pleased with the progress we have made to date and the traction we are getting on this front and plan to continue investing in product design, data engineering and software development throughout the year. Rest assured, we will continue to aggressively qualify and monitor these investments and these allocations of capital to maximize their return and long-term value to the company. We look forward to providing you with additional updates throughout the year, highlighting new capabilities to support the growing data needs of the research community, the development of workflow automation tools to streamline the procurement process and solutions that make it even easier for our health care provider partners to support the demand for prospective collections. Turning now to the progress we've made with our supplier network. In Q1, we successfully expanded our geographic footprint, securing new suppliers in countries that include the United States, Estonia, Turkey, India and Venezuela. These new supplier relationships helped expand the capabilities of our biospecimen network by providing us access to specimens such as sequenced COVID-19 samples, a broader array of oncology biofluids and tissues and both fresh and cryopreserved hematopoietic cell products, among others. As part of this expansion, we added Acutis Diagnostics, a clinical diagnostics laboratory to our platform as a services provider. Throughout our relationship with Acutis Diagnostics, iSpecimen -- I'm sorry, through our relationship with Acutis Diagnostics, iSpecimen now offers sequencing services to its research clients, assisting them with the genetic characterization of a wide variety of biospecimens to better assess the impact of specific mutations on diseases such as COVID-19 and cancer. Combined, these efforts have allowed us to surpass 200 health care provider organizations in the iSpecimen marketplace supplier network. Ending the quarter, Q1, we had 205 unique supplier organizations under agreement at I specimen. The growth of our supplier network was mirrored by similar growth in our customer base during the quarter, again measured by the number of unique organizations that have procured specimens from iSpecimen. As of March 31 of this year, we had successfully fulfilled biospecimen orders for a total of 437 unique customer organizations, an increase of 25% from the 349 during the same period last year. These new organizations consisted primarily of commercial biotechnology, pharmaceutical and diagnostic companies. It also included some universities, not-for-profit research centers and a number of government agencies. Measuring the number of both supply side and customer side users that interacted with the iSpecimen Marketplace platform during the first quarter of 2022, we are pleased to report an increase of nearly 35% and that's compared to the same period 1 year earlier, Q1 2021. Taken together, we continue to form an increasingly solid base of customers and suppliers, all connected by our marketplace technology. We're confident that our investment in this technology platform will result in a return to growth later this year. Additionally, we expect the recent investments that have been made to bolster our field sales force, which has essentially doubled in size over the past quarter will also have a material impact on revenue growth in the second half of the year. These additional sales personnel, our mid-ramp or starting to ramp and will give us more complete coverage of territories and improved penetration of new accounts throughout the rest of the year. Next, turning to the challenges we encountered during the first in quarter -- the first quarter. The pandemic continues to pose some lingering issues for us. On the supply side, some health care providers in our network continued to face intermittent constraints relating to regional COVID outbreaks in their areas during Q1. While we're now in a period of relatively low COVID transmission and our health care provider sites are mostly open, we do remain guarded about additional COVID outbreaks that could disrupt our supply chain. On the customer side, we continue to transition from COVID-related specimen requests, dominating the order flow, meaning the heterogeneity of our order flow from customers continues to improve as the pandemic subsides. We believe that our customer base is now on the tail end of their post-COVID ramp-up back to a level of research activity and particularly preclinical research activity that existed pre-pandemic. Tracy will provide more details around COVID-related revenue in her comments shortly. Additionally and significantly, during the first quarter, we experienced a sudden shutdown of our supply network in both Ukraine and Russia due to the military conflict and the ensuing unrest. While this affected approximately $1 million in open purchase orders, we demonstrated operational resiliency and flexibility by successfully transitioning the majority of both feasibility assessments and the majority of scheduled biospecimen collections to suppliers in other regions, which is a testament to our business model and the global reach of our network. However, these unexpected supply site closures did have an adverse effect on revenue for the first quarter. For Q1 2022, we reported revenue of approximately $2.5 million compared to approximately $3 million for Q1 of 2021. This diminution in revenue was primarily attributable to the Ukrainian Russian conflict. And while we moved most open orders to suppliers outside of the region, fulfillment and revenue capture were delayed and are expected to take place throughout the remainder of 2022. Despite this setback during the quarter, we remain extremely confident that the execution of our strategy, along with our investments in technology and key personnel, especially the sales force, will continue to improve our position to gain additional market share over the coming quarters. With that, I'll now pass the call on to Tracy Curley, who will review our financial results. Tracy?
Tracy Curley : Thank you, Chris, and good morning, everyone. Today, I'll be reviewing our financial results for the first quarter of 2022 compared to the same period in 2021. For the first quarter of 2022, we reported approximately $2.5 million in revenue compared to approximately $3 million during the same period last year. The decrease in revenue was primarily attributable to the Russia and Ukraine conflict, which shut down supply sites in those regions, along with the reduction in sales of COVID-19 specimens when compared to the prior year. The heterogeneity or diversity of our order as the heterogeneity of our order mix returns, we continue to experience declines in COVID-19 revenue. For the first quarter of 2022, COVID-19 revenue was approximately $479,000 compared to approximately $682,000 for the same quarter in the prior year, a $203,000 or 30% decrease in COVID-19 revenue. We anticipate that our COVID-19 revenue will continue to decline being a specific guidance on the decline due to the uncertainty of the continued impact of COVID-19. Specimens accessioned during the first quarter of 2022 were directly impacted by the Russia and Ukraine conflict, which resulted in a decrease of approximately 1,267 specimens or 20% to approximately 4,924 specimens compared to approximately 6,191 specimens accessioned during the same quarter in the prior year. On a positive note, there was a change in specimen mix that resulted in an increase in the average selling price per specimen of approximately $10 or 2% compared to the same period in the prior year. Cost of revenue decreased by approximately $458,000 or 28% from approximately $1.6 million for the first quarter of 2021 to approximately $1.2 million for the first quarter of 2022, which was attributable to an 11% decrease in the average cost per specimen as well as a decrease of 20% in specimens accessioned for the current period compared to the same period in the prior year. For the first quarter of 2022, we increased our cash spend for technology to approximately $600,000 from $389,000 for the same period last year. The increase in spend for the first quarter of 2022 compared commitment to invest in our technology, as evidenced by our -- for the first quarter of 2022, this cash outlay was comprised of approximately $339,000 of capitalized internally developed software and approximately $261,000 of technology expense that we are not able to capitalize and therefore, was capitalized -- was classified as technology expense. The remainder of technology expense for the first quarter of 2022 was comprised of approximately $266,000 of noncash amortization related to internally developed software. Total technology expense for the first quarter of 2022 was approximately $528,000. For the first quarter of 2022, sales and marketing expenses were approximately $747,000 compared to approximately $529,000 during the same period last year. The increase was attributable to increases in payroll and related expenses, external marketing efforts and general operating expenses. For the first quarter of 2022, general and administrative expenses were approximately $1.8 million compared to approximately $960,000 during the same period last year. The increase was primarily attributable to an increase in costs related to compensation, stock compensation, directors and officers, insurance and operating and maintenance expenses. As of March 31, 2022, our cash balance was approximately $26.1 million compared to approximately $27.7 million as of December 31, 2021. Based on an expected quarterly cash burn rate of approximately $1.5 million to $2 million for the foreseeable future, we have a very long runway ahead of us. This concludes our prepared remarks. Now I would like to open the call for questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question is from the line of Matt Hewitt with Craig-Hallum Capital Group.
Matthew Hewitt : Maybe first up, regarding the roughly $1 million in orders that were impacted by the Russia and Ukraine situation. I'm wondering, is there any way to kind of help us with the cadence of those a little bit? I mean I think you said that it would be reflected or recognized over the remainder of the year, but will the bulk of that be hitting in any particular quarter?
Jill Mullan : No. So when we look at those orders and we reallocated them to new sites, collection rates varied from when we originally had them allocated to the Ukrainian sites. So it turns out we will be collecting the bulk of that over the next 3 quarters, and it's pretty evenly spread out.
Christopher Ianelli : And it's hard to project, Matt, this is Chris. That was Jill answering the first part. It's hard to project because as we scramble to move those orders, which we successfully did for the majority of them, we had to get into other queues. And it's not as though those other sites could immediately drop the other stuff that they were doing and move to these. So it's going to be really difficult to predict where the bolus of those orders come out in the next quarter. So it's safeness to say they're going to spread out over the year.
Matthew Hewitt : Okay. That makes sense. And obviously, it is highlighting your abilities and the breadth of your platform. So I guess, congratulations on that front. Maybe shifting gears a little bit regarding the data initiative. Some of the changes, obviously, congratulations on getting that first update out. As you look at the platform today and you think about the next update or the next couple of updates, what other areas of data do you believe could add the greatest value to your platform?
Christopher Ianelli : So it's going to continue to be deep clinical data sets for a period of time. And I say that because what's most valuable is to be able to gain as much visibility into the phenotype or the characteristics of patients from whom our customers want those samples. So for the foreseeable future, our intense focus is going to be on reaching more deeply into the electronic medical record, to gain access to not only the sorts of data sets that we've been getting historically that describe the samples that exist in the pathology lab, a clinical lab or a biobank. But now trying to get those deep phenotypes, meaning you want to have deeper diagnosis data, you want to have information on how these patients are treated, how they may have responded or not responded to those treatments, social history information like smoking status, drinking, family history. That information is becoming increasingly important in our customer base for 2 reasons. One, when they go to select a sample that we would source for them from a pathology lab, a clinical lab or a biobank, meaning an environment where the sample already exists. They want to qualify that sample for selection and shipment to them by understanding these deep attributes of the patients more so than they have in the past, but the second reason why it's important is because with precision medicine really picking up, we've been in a world of precision medicine for some time now. The request that we're getting are increasingly specific, not only in terms of the patients that collections need to be done from, but the way that those samples are collected. And we are seeing an increase -- and we've seen this for a while, a steady increase in the number of prospective collections that are being requested of us, meaning what is being asked for by the customer cannot be satisfied by a sample in a lab already exists. We have to have information about where the patient with those characteristics is and where they are likely to have an encounter with a health care system so that they can be approached, informed consent can be gathered and we can do that collection. So it's deep data sets to really help with both arms of collection that we currently run. I don't know if Jill has anything to add to that, but...
Jill Mullan : No, I think that was pretty complete.
Matthew Hewitt : That's very helpful. And maybe 1 more, and I'll hop back in the queue. But I think you mentioned, Tracy, that the ASP actually during the quarter increased roughly 2% year-on-year, how much of that is related to COVID as you're seeing this shift back to, I guess, a broader sample collection versus primarily COVID last year and the year before? And then how much of it is the newer samples that are coming with this greater data set just require or come with a higher ASP.
Tracy Curley : I'm going to let Jill answer that because she's closer to the mix of our specimens.
Jill Mullan : Yes. So when I looked at the mix of species, what we saw is a slight increase in the overall percentage of the POs that we received that were based upon research use only prospective collections. And typically, those custom collections were, as Chris mentioned, we have to go out, find the patient, approach them, can send them and get a sample from them, have a higher price point than, say, something like a clinical renin sample. So as our mix continues to shift more towards those higher value samples, you typically will see the price increase. The COVID effect or COVID part of it is a lot of the COVID requests that we had gotten certainly in the early days of COVID and throughout last year too were clinical remnant samples, so those lower-value samples. And so as the COVID mix shifts out of our overall mix, and these other samples increase as a percentage of the overall samples, I would expect you would continue to see increased overall ASPs. Yes, I was going to say, it may be lumpy on a quarter-by-quarter basis because it really depends upon the projects. But overall, if you look at our history, as that has happened, the ASPs have gone up.
Operator: Our next question is from the line of Constantine Davides with EF Hutton.
Constantine Davides: Chris, you highlighted how much cash you have on the balance sheet and obviously, industry valuations lately are under some pressure. And I'm just wondering does that change the rising cost of capital, does that change your mindset in terms of looking for assets on the acquisition front? And maybe you can just help us understand to the extent you are looking for assets to bring in-house, what are the criteria of some of the properties you would target?
Christopher Ianelli : Yes. So it certainly does the macro environment that we now find ourselves in, along with everybody else and the valuations that are being assigned by the market, certainly does change our attitude towards M&A. Cash is king right now, but we are continuing to look and be very selective on what we look at. We have not announced or made public what those criteria are, but I'll sum it up by saying we are going to be very opportunistic, I think a number of the competitors in our space are going to be feeling the sting from what may be a recessionary environment that we enter into, but certainly a pullback given what's happening in the market. So we'll be looking for very opportunistic opportunities for us to go in and bring in assets that can bolster our supply side and give us deeper and better access to that is our platform, but also it gives us access to the customer base that some of those competitors may be serving. In addition to looking at look-alike to specimen in the sense that we're looking at low-tech competitors where we can be opportunistic. We're also looking at opportunities where we can start to get into new offerings that are very related. I don't want to say tangential because they're very adjacent to what we do now in providing access to primary patient material, meaning primary tissue or biological samples. But there is an opportunity for us to add value to what we currently do. Not only would we be able -- one example of this would be not only getting access to the right patient and the right sample, whether it's a biofluid or a piece of tissue from that patient, but being able to separate different cell types and then sell isolated cell types from that tissue. And that's something that we're looking at because we have access to such a large network and access to so many different types of tissue, and we can start to create some inventory around very specialized cell types that we know are in demand in the market, hepatocytes being one of them. So that gives you a little clue as to some of the things that we're using to qualify these potential targets for M&A or partnership, things that we can be opportunistic and things that we can sensibly extend our offerings to our customer base, given that we have their attention on the platform and with our sales force. The economic parameters or financial parameters around which we would qualify these opportunities, we have not yet disclosed that. And I don't think I'm ready to do it on this call, but that will be coming out as we make more progress.
Constantine Davides : Do you feel like you're far enough along in some of these discussions that we potentially see a transaction this year? Or is it more of a 2023 event?
Christopher Ianelli : Yes. I would shutter constantly to tell you what's going to happen this year because there's so much uncertainty in the market, and we do want to hold on to cash and see the value of that. So I would say, unlikely this year and much more likely in next -- 2023 and subsequent years.
Operator: I show no further questions in the queue. At this time, I'll turn the call over to Mr. Christopher Ianelli, CEO and President, for closing remarks.
Christopher Ianelli : All right. Thank you, operator. I'd like to thank everybody again for joining us on today's call and for your continued interest in iSpecimen. We look forward to having follow-up conversations with many of you and seeing many of you at upcoming events. So with that, thank you, and everyone, have a great day. Bye.
Operator: That does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.